Operator: Hello, ladies and gentlemen, thank you for standing by for KE Holdings Incorporated’s First Quarter 2021 Earnings Conference Call. At this time, all participants are in listen-only mode. Today's conference call is being recorded. I will now turn the call over to your host, Mr. Matthew Zhao, IR Director of the company. Please go ahead, Matthew.
Matthew Zhao: Thank you, operator. Good evening and good morning everyone. Welcome to KE Holdings Inc. or Beike's first quarter 2021 earnings conference call. The company's financial and operating results were published in the press release earlier today and are posted on our company's IR website, www.investors.ke.com. On today's call, we have Mr. Stanley Yongdong Peng, our Co-Founder and Chief Executive Officer, and Mr. Tao Xu, our Chief Financial Officer. Mr. Peng will provide an overview of our strategies and business developments and Mr. Xu will provide additional details on the company's financial results. Before we continue, I refer you to our Safe Harbor statement in our earnings press release, which applies to this call, as we will make forward-looking statements. Please also know that Beike's earnings press release and this conference call include discussions of unaudited GAAP financial information as well as unaudited non-GAAP financial measures. Please refer to the company's press release, which contains a reconciliation of the unaudited non-GAAP measures to comparable GAAP measures. Lastly, unless otherwise stated, all figures mentioned during this conference call are in renminbi. With that, I will now turn the call over to our CEO, Mr. Stanley Peng. Please go ahead, Stanley.
Stanley Yongdong Peng: Thank you, Matthew. Hello, everyone, and thank you for joining us today on our first quarter 2021 earnings conference call. We are very grateful to have achieved operational and financial results in the first quarter that considerably exceeded expectations, thanks to the tailwinds from China's robust economic growth following the COVID-19 pandemic and the adherence of the national policy, houses are for living not for speculation, as well as our unwavering focus on the long-term goal of delivering an excellent consumer experience through quality service. Our total GTV grew rapidly to RMB1.07 trillion, up 224.2% year-over-year. Meanwhile the self-reinforcing virtuous cycle of efficiency and scalability driven by quality service was further enhanced on our platform. We continued promoting industry digitalization by further building online infrastructure. In the first quarter, our housing dictionary contained data for over 244 million homes in China. Average MAUs including our platform's apps and WeChat mini-programs reached 48.5 million in the first quarter, up 78% year-over-year. The expansion of our network's scale also continued at a robust pace, while we remained focused on the quality of our network. By the end of the first quarter the total number of connected stores reached 48,700, up 25.4% year-over-year. Seamless and win-win collaboration among stores and brands continued to prevail on our platform. In the first quarter, 76% of transactions on our platform were completed through cross-store collaborations and the transactions completed through cross-brand collaborations remained steady at 36% on our platform, while connected stores accounted for 83% of existing home listings. In addition, we continuously supported our connected stores and brands in recruiting, cultivating and retaining agents in the first quarter, which led to 41.8% year-over-year growth of the number of agents on our platform reaching a total of 528,000. With that overview, I would now like to provide you with some color on our existing home transaction services business. Total GTV of existing home transactions in China grew 133% year-over-year in the first quarter. The substantial gain was in part due to the low base in 2020 caused by the severe impact of the pandemic as well as the impact of some structural transaction growth at the regional level. On our platform GTV of existing home transactions reached RMB 673.4 billion in the first quarter, increasing 244.2% and a unit store GTV of existing home transactions achieved 174.7% year-over-year expansion. Continuously improved service quality and efficiency of connected stores was the primary driver of these robust gains. In the first quarter, we initiated an Agent Specialization strategy, which encourages agents to focus on either existing home sales, new home sales or home rentals rather than their traditional mixed functions in the industry aided by the cooperative mindset we foster among agents along with clearly defined roles and performance-based commission allocation mechanisms. This strategy helps agents sharpen their focus, cultivate stronger professional service capabilities, promote efficiency, efficient customer conversion across different offerings, and ultimately improve store efficiency and the consumer experience. The Agent Specialization strategy has proven very effective in enhancing consumer experience and store efficiency taking the pilot city of Hangzhou as an example over 30,000 agents were assigned to different roles in the first quarter. Unit store GTV was 11% higher in the stores where Agent Specialization was implemented compared to stores that have not divided agent functions. By the end of the first quarter, we have implemented this mechanism in 20 cities covering 17,800 stores. Given the encouraging early results, we plan to adopt this strategy in batches in at least 30 cities this year. In order to create value for our consumers one step further and improve the real estate transaction processes, we began opening offline contract service centers in our major cities. Our goal is to further guarantee transaction security, streamline the signing process and enhance the efficiency of multiple parties. The real estate contract and signing process tends to be very complicated and often requires comprehensive knowledge across finance, legal and tax fields. The lack of professional service offerings that fill these needs left consumers exposed to transactional risk. Our contract service centers address exactly this pain point as they become the go-to location for customers regarding all contract-related services. The process is completed with a professional contract manager to ensure compliance and full risk disclosure, which provides a safe efficient and convenient contract experience for our customers. By the end of the first quarter, we had opened 74 contract signing service centers in 21 cities. Switching gears to our new home transaction services. In the first quarter, GTV for new home transactions increased 96% year-over-year in China, which was attributable to the low base last year as well as developers' strong incentive to accelerate sell-through. GTV of our new home transaction services was RMB 343.4 billion up 194.9% year-over-year driven by the 220% GTV growth of connected stores and other channels as we continued to enhance the efficiency and professional training to our connected agents. On par with our stellar financial performance, we also made substantial strides in new-home transactions in digitalization content enrichment and ecosystem governance. This aims to empower service providers such as developers and continue to enhance the service quality and maximize value for the consumer. As we communicated during our fourth quarter earnings call, we are dedicated to build online content for new home transactions to improve the consumer experience, online penetration, and facilitate this segment's digital transformation. As of March 31, we enriched comprehensive and multi-dimensional information for more than 10,000 new home sales projects on our platform covering 34 cities and offering consumers with more online information such as 3D property book through data processing, together with platform and AI-generated online content such as valuation assessment reports and AI housing layout plans, we were able to better satisfy the consumers' needs for new home online information. We also optimized our new home sales traffic and leads acquisition strategy. Thanks to all these initiatives, we generated on average a 10% increase in new home customer leads in those 34 cities in the first quarter and significantly enhanced the online experience for consumers. Moreover, we launched a New Home Business Conduct Improvement Plan to advocate for a transparent and healthy new home sales environment based on governance and better collaboration mechanisms in the new home transaction services. Our goal is to facilitate a fair, safe, efficient, and orderly ecosystem for the new home transaction services that addresses the improper practices that have existed for a long time such as vicious competition for customers, customer information leakage, and forced rebates. By promoting governance mechanisms in the industry including rules and protocols as well as the capability to implement them, we aim to protect agents' rights and offer a sense of security and certainty to them. Eventually, this would substantially protect the legitimate interests of developers and improve agents' efficiency and income, enhance the consumer experience, and create a virtuous cycle that enhances the overall operating efficiency of the new home industry. In the first quarter, we implemented a verification system at the agent level and put in place city-level supervision teams. We have also signed agreements with 91% of developers on our platform on Five Don'ts, making a firm commitment to the developers and the overall industry. For new homes, another important initiative is the New Home Sales Empowerment Plan. By cultivating dedicated agents with the expertise on new home transaction services as well as online and offline full-spectrum customer acquisition capabilities, the plan caters to consumers' different needs when purchasing new home projects compared with existing homes. At the same time, the portfolio of new home sales channels we offer to developers is further enriched better meeting their needs for more focused and efficient sales channels. Lastly, on our emerging services, we have made steady progress in home renovation services and financial services. We completed 551 home renovation units in Beijing in the first quarter, while progressively iterating the infrastructure including multiple self-developed systems. Among them our self-developed Beiwoo BIM system version 1.0 was launched in the first quarter. As part of the industry infrastructure, the Beiwoo BIM system successfully digitalized home renovation and decoration design. For designers the BIM system enabled automatic drawing output, accurate real-time quotations, and the generation of digital bill of materials, BOM, as well as accurate VR design effects supported by the VR capability available on our platform. This not only solves the industry-wide problem of visualizing and translating the abstract designs from a designer's mind, but also lays out the foundation for the final construction feasibility with highly enhanced data accuracy. For consumers this greatly reinforces the notion that on our platform, "what you see is what you get" and empowers them, to take control of renovation costs in real-time, the service reliability is greatly enhanced. We believe we have established the industry-leading position in the infrastructure we provide, for home renovation and decoration, including the systems, products and applications for both, consumers and service providers. In terms of financial services, recognizing 60% of sellers in existing home transactions have a demand for property redemption, we promoted the 'Anxinbao' [ph] products to meet owners' redemption needs more efficiently and at an average 26% decrease in cost. At the end of the first quarter, this product had entered seven cities, improving the overall transaction, experience for home owners in existing home transactions. In summary, 2021 is off to a strong start. Our financial and operational performance has spotlighted, our core strengths and we continue to gain traction with our ACN network in new and existing home markets. The national policy of 'houses are for living, not for speculation' that underpins the foundation for a steady and healthy real-estate market provides added support to our mission, to transform the housing transaction and services industry in China. Going forward, we will continually evolve our business and invest, in initiatives close to our core while creating a new and better normal for the industry, building trust and increasing value for everyone along the way. With that, I would like to turn the call over to our CFO, Xu Tao, for a closer review of our first-quarter financials. Thank you.
Tao Xu: Thank you, Stanley. Thank you everyone for joining us. I would like to provide a brief overview for our first quarter of 2021 financial results. We are pleased to deliver another strong quarter of financial results, marked by high revenue growth and strong profitability. Our net revenues, increased by 190.7% year-over-year to RMB20.7 billion in Q1, exceeding both, the high-end of our guidance and street consensus. The rapid growth of net revenues was driven by solid GTV growth of 224.2% year-over-year to RMB1.07 trillion. The high growth rate in the first quarter of 2021 was primarily attributable to a lower base in the same period of last year under the impact of COVID-19. However, although we experienced the impact of the Chinese New Year in Q1, our net revenues in Q1 still surpassed the revenues in both, Q2 and Q3 of last year and only declined single-digit on a sequential basis, demonstrating the strong momentum of top line growth. In particular, our net revenues from existing home transaction services, increased by 202.1% year-over-year to RMB10.2 billion in Q1, mainly due to a 244.2% year-over-year increase in GTV of existing home transactions to RMB673.4 billion in Q1. Our net revenues from new home transaction services, increased by 187.6% year-over-year to RMB9.9 billion in Q1 primarily due to a 194.9% year-over-year increase in GTV of new home transactions to RMB343.4 billion in Q1. Our net revenues from emerging and other services increased by, 96.2% year-over-year to RMB0.6 billion in Q1. The increase was primarily due to an increase in the GTV of financial services around the housing transaction services as well as an increased number of home decorations units, completed through the Company's platform. Cost of revenues, increased by 140.0% year-over-year to RMB15.9 billion in Q1. Gross profit increased by 860.4% year-over-year to RMB4.8 billion in Q1. Gross margin increased to 23.3% from 7.0% in the same period of 2020. The increase in gross margin was mainly attributable to a low-base in the first quarter of 2020, under the impact of the COVID-19 outbreak. Operating expenses were RMB3.8 billion in Q1, compared to RMB2.1 billion in the same period of 2020. General and administrative expenses were RMB2.1 billion, compared to RMB1.1 billion in the same period of 2020, mainly due to the increase in headcount as well as share-based compensation expenses. Sales and marketing expenses were RMB1.1 billion, compared to RMB577 million in the same period of 2020, mainly due to the increase of the online and offline advertisement and branding campaigns. Research and development expenses were RMB638 million in Q1, compared to RMB451 million in the same period of 2020, mainly due to an increase of headcount in experienced R&D personnel, as well as increased share-based compensation expenses. Income from operations was RMB1 billion in Q1, compared to loss from operations of RMB1.6 billion in the same period of 2020. Operating margin was 4.9% in Q1, compared to negative 22.9% in the same period of 2020, primarily due to the increase of net revenues and the impact of COVID-19 outbreak in last Q1. Excluding non-GAAP items, our adjusted income from operations was RMB1.6 billion in Q1, compared to adjusted loss from operations of RMB1.5 billion in the same period of 2020. Adjusted operating margin was 7.6% in Q1, compared to negative 20.8% in the same period of 2020. Adjusted EBITDA was RMB2.0 billion in Q1 compared to negative RMB1.2 billion in the same period of 2020. Net income was RMB1.1 billion in Q1, compared to net loss of RMB1.2 billion in the same period of 2020. Excluding non-GAAP items, our adjusted net income was RMB1.5 billion in Q1, compared to adjusted net loss of RMB1.1 billion in the same period of 2020. Net income attributable to KE Holdings Inc.'s ordinary shareholders was RMB1.1 billion in Q1, compared to net loss attributable to KE Holdings Inc.'s ordinary shareholders of RMB1.9 billion in the same period of 2020. Adjusted net income attributable to KE Holdings Inc. was RMB1.5 billion in Q1, compared to adjusted net loss attributable to KE Holdings Inc. of RMB1.1 billion in the same period of 2020. Diluted net income per ADS attributable to KE Holdings Inc.'s ordinary shareholders was RMB0.88 in Q1, compared to negative RMB3.92 in the same period of 2020. Adjusted diluted net income per ADS attributable to KE Holdings Inc.'s ordinary shareholders was RMB1.25 in Q1, compared to negative RMB3.64 in the same period of 2020. As of March 31, 2021, the combined balance of our cash, cash equivalents, restricted cash and short-term investments amounted to RMB62.0 billion or US$9.5 billion. Looking forward to the second quarter of 2021, we expect our net revenues to be between RMB22.5 billion and RMB23.5 billion, representing an increase of approximately 11.7% to 16.7% from the same quarter of 2020. The relatively low year-over-year growth rate of our revenue guidance is mainly due to a high base in the same period of last year, which resulted from a meaningful portion of transactions shifted from Q1 to Q2 last year due to the impact of the COVID-19 outbreak. This business outlook reflects the company's current and preliminary view on the business situation and market condition, which is subject to change. Meanwhile, since our business operation had been negatively impacted by COVID-19 outbreak in Q1 of last year and a meaningful portion of transactions had been shifted to Q2 of last year. We suggest investors to look at and compare our financial performance as a whole for the first half of 2021 versus the first half to 2020 to better reflect our business progress. Last, but not the least, we noticed that certain cities have implemented new city-level real estate policy change during the first quarter to control the overheated housing price, which may bring negative impact to regional real estate markets in the short term. Nevertheless, we believe that a stable real estate market is beneficial for the sustainable development of Beike and the whole industry. Since the rigid and upgrade demands for customers remained the mainstream in housing transaction market, we believe that our industry-leading service will continue to attract more customers and allow us to mitigate short-term fluctuations in a few cities. In conclusion, with a long-term outlook and a market-neutral view, we are confident in our growth projection. Our commitment in consistently enhancing our efforts, in bringing value to consumers and empowering the service providers will continue to support us realize our vision. That concludes our prepared remarks. We would like now to open the call to your questions. Operator, please go ahead.
Operator: [Operator Instructions] Your first question comes from the line of Elsie Cheng from Goldman Sachs. Please ask your question.
Elsie Cheng: [Foreign Language] Thank you, management for taking my questions and congrats on the strong quarter again. I have three questions. First is about the efficiency at Lianjia and Beike stores. Can you share a bit more color into the GTV personal growth, as well as the main drivers of the growth for the quarter? And then second is on antitrust regulations in China. How does management think about the regulatory environment and the impacts to our Company if any? Third is for the macro and housing industry, where we've seen some tightening policies in a couple of tier one cities and what would be the impact from those cities and how should we think about future trends? Thank you.
Tao Xu: Thank you, Elsie. Regarding our store efficiency for the Lianjia and Beike store for the first quarter for 2021, the average GTV per store increased 186.3% year-over-year and quarter-over-quarter sequentially, we decreased 2%. Our [Indiscernible] year-over-year has increased 182% and the quarter-over-quarter increased 2%. Our connected stores increased year-over-year, 193%, whereas quarter over quarter decreased 5%, so year-over-year increase is mainly due to negative impact of COVID-19, because last year all [indiscernible] COVID-19 outbreak, we shut down our business for 1.5 months to the secure safety of our agents of our regions and the funds. During the period back for a while, so that's -- and then meaningful housing transaction, [indiscernible] this is the main reason. But the quarter-over-quarter decrease just owing to 2019 is normally, so after Q4's strong quarter and Q1's relatively weak quarter owing to the Chinese New Year holiday. But if you look at this Q1 versus Q4, the number post-COVID is very meaningful because even though we had the impact of the Chinese New Year, but quality, efficiency and stability and Beike store is what played out. That's the traditional low season of first quarter and with a big single first quarter did not show much impact and just Q1, we're still robust with the number exceeds last Q2 and Q3. [indiscernible] RMB164 million to remaining other finance store that's RMB36 million opportunity there were more than 31% store passed the 50 million benchmark. Looking forward, this number increased to 36.7% in this quarter. That means more than 17,000 stores in this platform already passed the 50 million benchmark. We anticipate by 2025 more than 90% of our store enrolled and pass the 50 million benchmark. According to our proprietary model and the 2019 as stated and we are very confident that our third brand of -- from 2019 to 2024 the tapper will be reached 11% to 12% and the connected store efficiency will reach 15% to 16% business year-over-year. In the long run we expect this will continue to develop its network back. The new home sale business environment increase in efficiency given for incentives for management and the quality service bring customer satisfaction – all of this will further enhance our efficiency. Regarding your questions for recent unpacked – passed regulation the confirm safe-play is consistently operate within the bounds of the laws regulations and the rules. We always work hard to meet this mix and spare no efforts to achieve ways to ensure -- therefore insist and are committed to promote the house environment of the industry. Developed property listing this problem caused by the housing supply and the demand balance and that is striving to be also continuous new compliance with the rules and the regulations. But the monetary, while we're on the untied cost obviously is to regulate and promote housing and sustainable environment. Alternative industry wish was being platform based digitalized and automated and to prevent morally dysfunctions you have to investment that need -- competition environments. Preparations are in place to promote house development for the industry and encourage development to non-public sectors in the economy. To this run frequently, the efficient with government authorities as a co-participant where even most will take social responsibility as top priorities. At the same time the government also get a better understanding of a Beike-specific model and the contribution we have made to help the industry grow and the over past 20 years.  Beike sincerely welcomes the supervision in plants and suggestions from customers and the public so that we can fix the problem and improve ourselves and try to give back to the society. At the same time, we are also very grateful that the regulatory authority for the understanding and the guidance of our business and the preparation of what we have brought into industry. Regarding your third question for the macroeconomy and some parts changed. For our understanding the conference this year about growth space market and people's livelihood and their welfare that is where all these measures housing for living not for speculation and this is a key policy to promote steady and housing development this market. So go for this policies that helped market not to punish or break, based on the judgment this year some cities have been introduced directly – this matter have effectively prevented market from overheating in some cities like Shenzhen and the -- the severe management and regional fluctuation of their own and hope this market with stable growth which provide the beneficial environment for Beike's operation.  From a market perspective, what's done and we want is now to freezing in other words the market cannot too hot and not too cold and the operating gross markets beneficial is China economy especially post-pandemic period. The market is reasonable volatility it's a fast market it should prevent from drastic heat from the troughs that sometimes people put forward due to concession and that this is very conducive for the operation of comps that have long-term contribution for all of -- because at Beike, we want to align with government demand which is steady and special volume for the long run instead of benefiting only doing the peak seasons. From a macro perspective obviously we see our policy into curbing speculative demands into market with the goal of squeezing out. But the mainstream demand whilst still market such as raising housing demands and the peoples willing to upgrade demand will be finally released all of the demand will be gradually released in the remaining months of the year and we will welcome to fulfils it. Also something that we need to be prudent about remaining transaction in most of other cities while these new reports. So from this perspective, we do not believe nationwide transaction will be significantly affected. One phase for reckon is excluding the GTV in our like Beijing Shanghai Guangzhou Shenzhen. So our GTV in March compared with generous deals increased to 55.5% in March. At the national platform a lowers mix effect operation into cities and at Beike we are very confident to deliver robust results for the rest of the year. The 19 years history based on the Lianjia has proven that neutral market. There is a balance of supply and demand was the best foundation for our long-term development. And our cost of development from 2017 to 2020 also demonstrated that Beike is a firm supporter and the beneficiary of the metropolitan house for living not for speculation.
Elsie Cheng: Thank you.
Operator: Your next question comes from the line of Thomas Chong from Jefferies. Please ask your question.
Thomas Chong: [Foreign Language] Thanks management for taking my questions and congratulations on the very solid set of results. My question is more about the second half outlook as well as the trend for different segments. Can management comment about how the trend will look like for the GTV revenue and the profitability together with on the by-segment basis how should we think about the trend for the existing home, new home as well as the emerging services outlook as we come to the second half? Thank you.
Tao Xu: Okay. Thank you, Thomas. And regarding the first question for the second half outlook, because Beike has delivered the record highest financial performance in past three quarters continues after IPO. So looking forward, we have a target and continue to deliver strong growth for the rest of the year. Just now we give our guidance of Q2 revenue, which is RMB 23.5 billion, an increase from RMB 5 billion year-over-year was due 11% to 23% increase. So in 2021 the fundamental purpose of regulatory policy in certain cities providing housing price going up too fast and very rational. So, just as I answered the question to Elsie, we still saw the second half of our market will be stable in the housing owing to the resi demand and the people’s willingness to change the particular input living additions. So, we do not believe it's a nationwide transition while we see the facts. So, we are very confident to give the robust result for the rest of the year. This is our answer to first question. The second is regarding a question for our – I think rate and our commission rate. So I think this question we iterate from time-to-time during past few years, the Lianjia initial rate actually the exact quality and transaction efficiency, a number of the services that we offer. Today China residential market, house for these new homes as the new home is a market that was public issue and apparent facts and the one. The platform announced and the platform has the capability to actively control it, may make working of commission work without being justified by the service quality, transaction efficiency and number of service guarantees offered is not sustainable, especially for the new home sales market with the digital 2D [ph] market. Developers are more at the dominant position and just recalls, in our past four years owing to Beike's solid efficiency – efficiency and quality our new home commission rate increase from 2.55 to 2.66, 2.71 and 2.74 and in the first quarter our commission rate for the new home is at 2.39. Beike does not have any intention to increase our commission rates. With that we will focus on to partner with the developers to jointly and continuously promote [indiscernible] for example, we are doing – together with partners part of the new home buying process... And the fourth is new home sales, in the past three years our property price of – commission rate, which gradually grows from 2.3 to 2.4 and international gradually grow from 1.89 to 2.07. In the future, we still state changing the commission rate while continue to rely on the cooperation of the service quality efficiency and the service quality we offer to – this was regarding to your second questions. Regarding your last question for emergence of financial services and for declaration, let me talk about the renovation decoration first. In 2020, our renovation and decoration, the total count for standing is 2500 and with the unit moves into these 300. In this Q1 even there is some impact of the Chinese New Year holiday but we still complete the project with the 500 – with 51 units. Though we recently foresee understanding and the number of units that we should complete in 2021 roughly doubled compared to 2020. The very important thing is we believe that this comes back to the decoration of certain factors are customer efficiency, control over team talents and the control to deliver process and the service quality. This market in China is big throughout the RMB3.6 trillion opportunity. This low market penetration and in the next five years we estimate about the 12%, which is a huge market opportunity. So I think we have inherent, especially we are doing the first year out of significant quality, we have acquisition, we think that will help run efficient channels that are very fragmented. So it's very good for larger advantage from this [indiscernible] and we anticipate the 60% funds of this position are strongly related to – are strongly related to declaration in months. In addition, we have a powerful online and offline integrated capabilities. I think we'll have the powerful offline power and [indiscernible] to have periods. So we are reasonably positive our system is meeting the business demands and continuous need to improve. In fact today you'll see mentions of operations and we can run the business [indiscernible] realize over choice quality of the [indiscernible] in the core price. Before our financial services, the growth of financial service GTV in Q1 you see our presentation. This is mainly due to our simple growth of new home transaction services and our stable financial service penetration rate. And regarding the monetization refinements and monetization rate of financial service into our – this was mainly due to the fact that the Q1 market is very volatile. And the major cities have undergone various regulation adjustments and the consumers have their ability providing other fixed costs that have been created. As simple as that we saw the nature of the financial services to assist with these new home transactions and how the consumers complete the transaction. So we have a strategically launched and expanded the scope of bringing on financial services in some cities, especially as our current financial services. So it's actually require to wait plus offer some benefit to our transaction business by providing some reliable financial service free of charge to our customers and they we are not very hurry to realize that all -- that part of the project from social service and this is also in line with network policy of house for living and not for speculation. We will continue to support them and new home activity and [Indiscernible] for customers. Okay. I hope this clarifies. Thank you, Thomas. 
Thomas Chong: Thank you. 
Stanley Yongdong Peng: [Foreign Language] Hi, Thomas. This is Stanley. Let me add on in terms of our philosophies to develop the new business in the future. So firstly, when we look at the new business we always look at the big potentials or big market size in those kinds of areas. We know there's a rounding of the residential topics there will always be some of the big market potentials such as renovation and decoration. When we notice those kinds of industries, they always have some of the common pain-points such as overall user experience extremely low and there's the overall players in that market are quite fragmented as well as the overall service procedures are quite complicated.  So based on our past 19 years of experience from the Lianjia practice to Beike, we believe the transforming of the industrial internet will definitely go to the routine. Firstly doing deeply, then doing horizontally. So we believe it's the only way to do that, right? Especially when we're doing deeply it means we will dig deep into that industry and understand the standard and build up the new standard for the services.  So in the past 19 years, we actually get a couple of the takes. Firstly is the -- is what we used to call the three standards. So firstly, it's about the service provider standard. What kind of services could be called the good services? Now how we define that. So that will be the first thing is we can further empower to the service providers in the industry such as decoration and renovation.  Secondly, it is standard for the overall service procedures, right? Especially for example, the renovation business during -- of the whole construction part and how we can provide the SOP as well as define the new standard for the overall services is what we can continue to work on. The third part, it was a standard for the -- the standard for the data as well as a system, right? So we notice the industry such as – other market such as decoration. There is no systematic data that has been online and has been digitalized. So that is why in the past period we really focused on how we can build up the standard, how we build up the protocols as I already mentioned during my prepared remarks. For example, we also build up the beam system as well as other initiatives in order to further increase of the standard as well as the protocols understanding for this part of business. So, in summary, when we look at the new business as I mentioned so we always had the full commitment as well as an endeavor to further transform of that part of our business. So we strongly look at encourage the investors to look at our efforts for the new business at least on the three year's basis, right? So and that will give us more confidence to continue and prepare more efforts to further transforming of the new business in the future. Thank you. 
Thomas Chong: Okay. Thank you.
Operator: Your next question comes from the line of Liping Zhao from CICC. Please ask your question. 
Liping Zhao: [Foreign Language] Good evening, Stanley, Tao Xu and Matthew. Thanks for taking my questions. I have two questions here. First one is related to the new home transaction. Some believe the entry barrier of new home transaction business is relatively lower compared to existing home transaction. There are more players in the market recently. What is Beike's core competitive advantage in new home transaction and what's your strategy to protect and gain more market share? And second question related to existing home transactions. Compared with property service companies Beike has strong efficiencies in matching buyers and the listed home. However, those property service companies have the advantage of being localized players and tight relationships with property owners. In the long run whether our AC plan to - plans to involve more players around the industry value chain, for example those property service companies? Thank you.
Tao Xu: Okay. Thank you. Regarding your first question for the new home sales and our core competency]. Some acres [indiscernible] let's say, as we mentioned year-over-year costs right after [indiscernible] player guarantee to this industry. That is not huge. And we truly welcome all players into this area [indiscernible] continuously reevaluate and polish our strategy and iterate ourselves. From Beike, we do hope to work with everyone to make this industry a better environment for agents and an increase agent efficiency and improve the customer experience for the housing transactions. So far we do realize there is some strange things it's like the unfair competition and the capital base that is always functions such as the setting low commission rates, higher rebate or so-called unrealistic a binding valuation promise. Just as the fact [indiscernible] competition and for which is laid out the deep understanding of how to do investment for the new home transactions. And in the past and last year last year was mega internet, how to enter into this industry with the high-profile job which ended up with acquisition, as this approach situation now. So as core competitors of the new home business, we need to two things. The first is total number of agents. Agent basic interests and the timely payments by far in Q1 will pay the full 4.3 billion and which can move the box to secure the agent interest and make sure the people were getting money in time. The second is [Indiscernible] about customers improving the customer experience in the new home buying process and the promoting the three days cooling down period et cetera. Since it's what we have continues to do. Also we are not prepared at this moment, but we are already on the way of doing so. Where there is a will there is a way. So currently I think we are focused on online information building and it should become even more closer with the bankers to filled out all the way and better sales office all goods and our brands in-store also [Indiscernible] before they promote the customer portal. The concept is to be infinitely close will be a gap this and they have reduced the need to put aside. Okay. Regarding your second question these new homes service, I would like to say it is – your question is for some skipping orders. So this is nothing new. There is always so-called skipping orders issue in this market in two, three years which we treated this as a kind of normal leakage loss to our business. We call this model is a parasitic model. We have always believed that as long as we insist on providing product service and business good for the Chinese consumers, consumer won't work with [Indiscernible] which have also verified by our past 90 years of history. And for those who want take advantage from these skipping orders whether they are property management companies or other brokerage companies maybe ultimately punished by the market liquidate balance between supply and demand. Consumers demand for the college service of our rights board and consumer will increasingly choose better college service providers like Beike. The business is evolving so the skip order will also decrease [Indiscernible] impact to us in the future. For some [Indiscernible] actually they do have some local -- the local community advantage which is difficult for our consumer with the most comprehensive source of listing. Most owners will not change house in the same complex this is a common from our observations. But the property management companies are now providing uplifting and the source was in. At the same time, the real developers do not have the ability to cultivate the most professional and efficient service provider in the real estate brokerage industry. Therefore from this model perspective it is difficult for the property management companies to generate the ability for real estate property service on a large scale. This public companies prudent broker company from serving the owner and the damage to owner's rights interest. According to the civil codes, the owner has their own rights to votes and [Technical Difficulty] property management companies, if the [indiscernible] the development of the property management in China benefits 100 of people. Actually the property management company have always been the opted for the study. We believe as well as the property management companies that aim to provide consumer with good service, high quality will not choose the vicious competition by the taking orders from their consumers. We also welcome the more actively established contact with the leading property management companies. It's for [indiscernible] to build our partnership with the residential services. Thank you.
Operator: Your next question comes from the line of Binbin Ding from JPMorgan. Please ask your question.
Binbin Ding: [Foreign Language] I'll translate it myself quickly. I have two questions. So the notice that originally the management of anti-gov [ph] made some comments on label regarding the industry as well as Beike. So my first question is for anti-trust, I know from a market share perspective you are not apparently not in an, obviously, dominant position in the market. But in what aspects or processes are exposed to the highest potential anti-trust risk in your view? Second question is related to competition. So from a competitive angle will the changes in recent competitive dynamic including the listing of anti-trust bring any changes or make you become more aggressive in terms of certain operational strategies? Thank you.
Stanley Yongdong Peng: Okay. Thank you Binbin. Regarding your second question for the anti-trust, I believe I have already gave a very clear answer on the capitalization, where I answered questions from IOC about government. So regarding your first question, we would like to see anti-trust used to be a leading online information content type. We will stay very close. It has been stalling and accumulate online use of clickbait, and used to establish some competitive advantage in society [ph]. Just like in-house, [indiscernible] it is one of the fellow industry participants and we have always respect. Normally we don't comment other peers or comment directly, but I would like to take this chance to share our view on how to build capable company when doing housing construction in China. Maintaining and providing service is not an option. It is a foundation for all real estate transactions. Even inauthentic and fake listings, mark the beginning of the successful and ambitious model. This is I want to mention the point one. The point two is when it’s like new home purchase should work with, people should adhere to a comprehensive and straight management system with three key requirements; scale of the project, reasonable commission rate to incentivize agents, and solid payment capability as well as the positive cash flow of the business operation otherwise the business model is not sustainable. The third, the comprehensive risk assessment system, fantastic and experienced operation forms housing accounts receivable over date days and big pockets provide commission in advance and secures agents' interest, significant monitor and prevail repay and the customer interception behaviors. This has a long way to go. The competition through the short-term behavior such as an excessive commission sharing and lower price is what brings the high uncertainty to their business model in the long run versus the false proposition and the legal uncertainty of the market. So we'll just [indiscernible] position might be a bottleneck for Lianjia [ph] to grow its new home business, but doing new home business requires strong cash position of the audit. According to Lianjia growth prospectus as of February 28, 2021, the balance of Lianjia gross cash, cash equivalent and short-term investment, the total amounting to RMB1.63 billion, while in the same period Beike just paid commission in advance of RMB4.3 billion to agents to secure their interest, which covers 163 [ph] and 130,000 payments and recover 5,080 projects. From agricultural [ph] business, our cash, cash equivalents and short-term investments amounted to RMB49.1 billion at the end of Q1, which comes to 30 times. Regarding recent noises from Yojimbo [ph] on social media, we are reluctant community where we go slow, or we go high, don't waste time on this guy. Operator let’s move to next question. 
Operator: We are now approaching the end of the conference call. I will now turn the call over to your speaker host today, Mr. Matthew Zhao for closing remarks.
Matthew Zhao: Thank you operator. Thank you once again for joining us today. If you have any further questions, please feel free to contact Beike's investor relation team through the information provided on our website. This concludes today's call and we are looking forward to speaking with you again next quarter. Thank you and goodbye.
Operator: That concludes today's conference call. Thank you for participating. You may now disconnect.